Operator: Greetings, and welcome to Nutrien 2025 Fourth Quarter Earnings Call. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference call over to Jeff Holzman, Senior Vice President of Investor Relations and FP&A.
Jeff Holzman: Thank you, operator. Good morning, and welcome to Nutrien's fourth quarter 2021 earnings call. As we conduct this call, various statements that we make about future expectations, plans and prospects contain forward-looking information. Certain assumptions were applied in making these conclusions and forecasts. Therefore, actual results could differ materially from those contained in our forward-looking information. Additional information about these factors and assumptions is contained in our quarterly report to shareholders as well as our most recent annual report, MD&A and annual information form. I'll now turn the call over to Ken Seitz, Nutrien's President and CEO; and Mark Thompson, our CFO, for opening comments.
Kenneth Seitz: Good morning, and thank you for joining us today to review Nutrien's 2025 results and the outlook for the year ahead. At our Investor Day in 2024, we outlined an ambitious 3-year plan with clear performance targets that included increasing upstream fertilizer sales volumes growing downstream retail earnings, reducing operating costs and optimizing capital expenditures. Our results reflect the strong execution of this plan, contributing to higher earnings and free cash flow lower net debt and increased cash returned to shareholders. In 2025, we generated adjusted EBITDA of $6.05 billion, up 13% from the prior year. We delivered record fertilizer sales volumes of 27.5 million tonnes, utilizing the strength of our end-to-end supply chain to efficiently serve our customers. We raised our potash sales volume guidance twice during the year as strong offshore demand offset a shortened fall location window in North America. We achieved 49% potash mine automation, a significant accomplishment that provides safety benefits and further strengthens our low-cost advantage. Our Potash controllable cash cost averaged $58 per tonne for the year, below our $60 per tonne goal. We increased nitrogen sales volumes to 10.9 million tonnes and achieved a 4 percentage point improvement in ammonia operating rates supported by reliability initiatives and the completion of low-cost debottlenecks. Excellent performance from our North American nitrogen plants helped offset the impact of a controlled shutdown of our Trinidad operations in the fourth quarter. In phosphate, our operating rate averaged 87% in the second half of reliability improvements and a strong commercial footprint enabled us to deliver within our guidance range despite lower North American demand in the fourth quarter. Our downstream retail adjusted EBITDA increased to $1.74 billion through decisive cost reductions, strong proprietary margins and solid execution of our Brazil margin improvement plan. Our unwavering focus on controllables allowed us to manage through weaker agricultural commodity markets and persistent geopolitical volatility and ultimately delivering results consistent with our guidance set at the beginning of the year. We surpassed our $200 million annual cost savings target and reduced capital expenditures to $2 billion, well below our Investor Day target of $2.2 billion to $2.3 billion. As a result of these efforts, we have structurally grown free cash flow strengthening the company today and providing significant headroom for capital deployment going forward. At our Investor Day, we also communicated a plan to simplify our portfolio. With the goal of concentrating our capital on assets with the highest quality earnings and cash flow streams. We initiated this journey in 2024 by canceling our Geismar clean ammonia project and divesting smaller noncore assets. In 2025, we put further rigor to the analysis of our portfolio by comprehensively evaluating each asset on the merits of free cash flow contribution return on invested capital and relative competitive position. This review highlighted assets that could be optimized or monetized while sharpening our focus on improving capital efficiency. Where an asset did not meet our threshold was not a strategic fit, we took action and generated approximately $900 million in gross proceeds from divestitures. We utilized the increased free cash flow and proceeds from noncore asset divestitures to progress two key capital allocation priorities. We reduced short-term debt by over $600 million compared to the prior year and continue to position the balance sheet as a strategic asset that provides flexibility to act countercyclically. We also delivered a 30% increase in cash returned to shareholders in 2025. This was achieved through the execution of a ratable share repurchases throughout the year, an approach that is aligned with our focus on driving growth and free cash flow per share. The reduction in share count also supports our long-standing track record of providing shareholders with a reliable and growing dividend per share while keeping total dividend expense broadly stable. To summarize, our performance in 2025 demonstrated resilience and consistency in an evolving environment. We expect to build on this momentum in 2026 with a focus on delivering growth from our core businesses and maintaining capital allocation discipline. In addition, we will continue to advance portfolio initiatives in three key areas. First, as previously announced, we launched a review of strategic alternatives for our phosphate business in the fourth quarter of 2025 and are on track to solidify the optimal path in 2026. Second, we continue to assess options for our Trinidad nitrogen operations and focus on enhancing our core North American assets, improving the margin profile of our nitrogen business. Lastly, we made significant progress on our retail margin improvement plan in Brazil over the past year. However, macroeconomic headwinds have kept returns below what we would view as appropriate to support the capital deployed there. We will continue to take actions to drive improved performance in 2026, while actively reviewing alternatives for each component of our Brazilian business and the optimal way to participate in the long-term growth in this market. I will now turn it over to Mark to speak in more detail on our 2026 outlook and capital allocation plans.
Mark Thompson: Thanks, Ken. As Ken highlighted, our 2025 results reflect excellent operating performance paired with prudent cost management and capital optimization across the company. As we look ahead to 2026, we see constructive fundamentals for our business. Potash demand is projected to grow for the fourth consecutive year in 2026, supported by strong relative affordability, large nitrate removal and low channel inventories. We've seen good engagement across all major markets with most benchmark prices approximately 20% higher compared to 12 months ago. We anticipate relatively tight fundamentals through 2026 as trend line demand growth is testing existing global operating and supply chain capabilities. Our potash sales volume guidance of 14.1 million to 14.8 million tonnes is consistent with our global demand projection. Canpotex was committed through the first quarter much earlier compared to the past several years, and our domestic winter fill program was very well subscribed. As a result, we expect first quarter sales volumes similar to the same period of 2025 and selling prices that reflect the year-over-year increase in benchmark values. On a full year basis, we expect controllable cash cost per tonne at or below our goal of $60 per tonne. Global nitrogen markets are currently being influenced by supply issues, while demand is expected to grow in line with historical rates driven by increasing use in agricultural markets such as Asia and Latin America. Global ammonia markets remained tight due to project delays in plant outages, while strong seasonal urea demand and geopolitical uncertainty have pushed urea values higher. Our nitrogen sales volumes guidance of 9.2 million to 9.7 million tonnes is supported by reliability initiatives and low-cost debottleneck projects and assumes no production from Trinidad and New Madrid in 2026. These facilities accounted for approximately 1.6 million tonnes in 2025 or approximately 15% of our nitrogen segment sales volumes. However, they contributed minimal free cash flow. Our cost structure in nitrogen now reflects production tied entirely to AECO and Henry Hub gas, raising the margin profile of our business and providing greater stability to our cash flow. In phosphate, we expect continued reliability benefits to support higher sales volumes with guidance of 2.4 million to 2.6 million tonnes. The majority of the year-over-year volume growth is projected in the first half. However, we also anticipate elevated input costs to pressure margins in the near term. Retail adjusted EBITDA of $1.75 billion to $1.95 billion represents continued growth in our downstream business consistent with historical rates. The midpoint of our range is underpinned by four key items. First, we expect high single-digit growth in our proprietary products gross margin in 2026, supported by the launch of new products, organic growth in our core retail geographies and the continued expansion of our international business. Second, we expect a mid-single-digit increase in our North American crop Nutrien sales volumes with margin rates similar to 2025. The recovery in volumes is driven by the need to replenish soil nutrients following a record crop and a shortened fall application window. Third, we assume improved weather conditions in Australia that are expected to drive higher crop input demand compared to the first half of 2025. And finally, we continue to drive cost management efforts across all of our geographies, which is expected to support incremental EBITDA margin improvement. We see the majority of these drivers being structural and supportive of growth in retail earnings beyond 2026. Now turning to capital allocation. For 2026, our priorities remain unchanged. We expect cash from operations to be supported by constructive fertilizer market fundamentals and organic growth drivers that I highlighted in each of our operating segments. Further, we ended 2025 with a working capital build due to the delayed timing of customer purchases. We expect the majority of this to unwind in 2026, supporting a meaningful improvement in cash conversion. Our capital expenditures guidance of $2 billion to $2.1 billion is consistent with 2025 and approximately $200 million below our Investor Day target. We've committed capital to sustain safe and reliable operations and to progress a set of targeted growth investments that have a strong fit with our strategy, provide returns in excess of our hurdle rates and have a relatively low degree of execution risk. Our most recent dividend declared yesterday marks the eighth consecutive year we've raised the dividend per share and Nutrien's Board of Directors has also authorized the repurchase of up to 5% of our outstanding common shares over the next 12 months. We've repurchased shares at a pace of approximately $50 million per month year-to-date and shareholders should continue to expect that ratable repurchases will be a consistent staple in our capital allocation framework going forward. I'll now turn it back to Ken for closing remarks.
Kenneth Seitz: Thanks, Mark. Over the past 18 months, we have taken purposeful steps to position our organization as one that is committed to excellence and determined to deliver industry-leading results. We have streamlined the leadership structures, established clear accountabilities and centralized functions and decision-making. As a result, Nutrien today is an organization that is leaner, more disciplined and better positioned than ever to deliver on its potential. We have aligned the company around a proven set of strategic priorities, simplifying our business driving operational improvements and maintaining a disciplined approach to capital allocation. I believe our unrelenting focus on these strategic priorities is delivering clear results and positioning Nutrien for long-term success. I'm proud of what we have achieved and excited about the extraordinary potential to build on this momentum. In closing, 2025 has been a defining year, and our focus in 2026 remains unchanged. I want to express my sincere appreciation to our 25,000 employees for their focus, hard work and dedication. Thank you all for your time, and we would be happy to take your questions.
Operator: [Operator Instructions] The first question comes from Joel Jackson from BMO Capital Markets.
Joel Jackson: Wonder if you could bridge us. I know you for a couple of years, held the guidance range for this year for retail to $1.9 billion to $2.1 billion. So let's call it about $2 billion, you're planning to deliver $1.85 this year. It's a $150 million, could you bridge us when you think about the last couple of years, the differences there? And maybe when you do that, would you please highlight proprietary products, Brazil, North America, retail tuck-ins that got you to $1.85 for this year.
Kenneth Seitz: Yes, Joel, thank you. So the 2026 target is about $150 million above where we are midpoint for sits today in our guidance. And then there's a few reasons owing to that. One -- the main driver is is we had assumed the macro fundamentals would be modestly better than they are today. And I think that would be most of it. So that the result is a bit slower proprietary product growth, and we've been a bit more selective on tuck-ins. And because of a modestly sort of modestly lower ag fundamentals or fundamentals. We have taken action in service of 2020 EBITDA. And so what have we done, we've paired growth of the market with what we've seen in the market, and that is accelerating our cost reductions. We talked about that, that's Latin American restructuring and the Brazil margin improvement plan. We've closed underperforming assets that's 50-plus locations both in North America and in Australia, we've reduced headcount by over 400 positions. We've restructured noncore and unprofitable businesses. So we've really taken action on the cost reduction side. We've optimized our capital expenditures. We've increased the contributions from Nutrien Financial and certainly better working capital management. We see additional opportunity on the working capital front as well. So that since 2023, we have increased earnings in our retail business by $400 million. And I think an important point there is that we believe that, that's structural. So that's a 6% growth rate beyond -- up until 2026 and beyond. So we look at the business, and we say, yes, ag fundamentals modestly sort of not where we had thought that they would be. We react with cost reductions and business improvement. And through all that, we've increased EBITDA in our retail business by $400 million structurally since 2023.
Operator: Your next question comes from Chris Parkinson from Wolfe Research.
Christopher Parkinson: Could we just go over real quick the demand dynamics that you're seeing in potash markets? I think most people are pretty decent on the supply. But just what surprised you? What's been in line with your expectations where you think inventories are? It seems like there are a couple of moving parts, which we did to keep track on. So any color there would be very helpful.
Kenneth Seitz: Yes. Thanks, Chris. So we're projecting 74 million, 77 million tonnes this year. So up about 1 million tonnes from what actually happened last year. And at that level, we're starting to reach sort of thresholds where it tests operations and supply chain capabilities. We do believe that underlying consumption is meeting shipments so that there hasn't been a large inventory build. If you look at that sort of record early settlement in China, very strong evidence of depleted inventories. And same thing in Brazil where domestic inventories are at multiyear lows. So we -- again, we see that shipments is equal to consumption when we say 74 million to 77 million tonnes because we don't see inventory building. As a result, we've seen good prices. Brazil at $375, and again, low inventory. Our U.S. winter fill program, we were fully subscribed the price there now $355 per short tonne. Southeast Asia's firm at $375, albeit there's some inventory there on a strong program purchasing program last year. India, $349, and we do expect India to come forward with an earlier settlement given that there's a lot of volume now going to China and the Indians are going to have to step in as well. So that Canpotex with the volume moving offshore is also now committed through Q1. So Chris, I think for the fourth year in a row now, we've seen demand growth, and it's getting from sort demand destruction of 2022 to 2023 right back on to trend level demand here into 2026, fourth year in a row, 74 million to 77 million tonnes, where inventories aren't building. In other words, consumptions equaling shipments and probably reaching a point where you're -- again, you're starting to test supply chain and operating capabilities, hence some of the firming that we've seen in price.
Operator: Your next question comes from Hamir Patel from CIBC.
Hamir Patel: Ken, given the high end of your production -- potash production guidance range would be close to your current capacity, how do you think about how quickly you could bring on additional potash brownfield capacity in your system? And when might you look to action further capital projects there?
Kenneth Seitz: Yes. Thanks, Hamir. Yes, the beauty of having six mines is that we have just a solid understanding of where that next tonne is going to come from and certainly at what cost. And so as we map out our trajectory of volumes, not just this year and next, but over the medium term, we have a very strong sense of where they're going to come from, when we can bring them on and at what cost. And so yes, Hamir, this year, we have 15 million tonnes of capability. And as the market grows, we have line of sight today to just continue to grow with it. When we say 19% to 20% market share in a growing market, again, we have line of sight to continue to expand our volumes as the market grows six mines, these investments are rather granular. It's conveyance underground, it's mining machines. And so we can do those as long as we get the purchase orders in for those mining machines in time turnaround and installation of those things, we can move that relatively quickly. Incredibly low capital costs. Again, we talked about that $150 to $200 per tonne. That would be, what, 10% of what a greenfield investment would be. The last thing I'll say is not to underestimate the benefits of mine automation as we expand our production volume. As we said in the comments, we cut half of our ore in either fully autonomous or tele remote mode. And the safety benefits, absolutely. But the productivity benefits and the flexibility benefits associated with automating these mines it's really proving out so that when we talk about, as you say, we're expanding volume consistent with the way the market is growing and our maintenance and market share, our ability to do that pace it a low capital and maintaining our $60 cash cost per tonne. We see that all coming together really very nicely as we sort of innovate on mine automation.
Operator: Your next question comes from Ben Isaacson from Scotiabank.
Ben Isaacson: Just a quick question on Brazil. You generated a loss, I believe, in '24, and you were close to breakeven in '25. Can you talk about the expectations for '26. What is the upside case, or what are the swing factors there? What should we expect out of Brazil?
Kenneth Seitz: Yes. Thank you for the question, Ben. The Brazilian market continues to be challenged, I would say, yes, we have been making great progress on our margin improvement plan. We've talked about idling blenders and closing on productive locations and rationalizing workforce and focus on collections. And that's all yielded results that, as you say, Ben, took us from a loss-making position in 2024 to making a bit of money in 2025. And if we look into 2026, again, given the ongoing challenges in that country, I would describe it as sort of modest improvement over what we did in 2025. And in light of some of those modest improvements and in light of the ongoing challenges in Brazilian agriculture, we continue to assess and reassess our presence there, whether it be with seeds, certainly with proprietary products where we see opportunities to grow. But on the retail front as well, what is the best what is the best way to approach the Brazilian market. We know we're going to be supplying potash there forever, and we're going to be a meaningful supplier there. So when we put that all together, I suspect there will be changes to sort of how we operate in Brazil in 2026, and we're just working through that now.
Operator: Your next question comes from Vincent Andrews of Morgan Stanley.
Unknown Analyst: This is Justin Pellegrino on for Vincent. I was just hoping you could kind of discuss the proprietary product mix in retail again. Is there a level that you're looking to achieve at some point in the distant future? Is there a target percentage mix? And then can you kind of just for 2026 and beyond what the drivers of below or above expectations would be for that percentage mix.
Kenneth Seitz: Yes. So thank you for the question, Justin. And yes, we do have growth aspirations as it relates to proprietary products. I mean it's growing to a gross margin of about 1.2 billion to date. And that's been -- we've been experiencing sort of high single-digit growth rates over the last 5 years. And we expect that to continue for all kinds of reasons. So yes, we do have growth aspirations, and that's true for the shelves that we currently put those products on the innovations associated with new products, and we are introducing new products this year and then looking abroad as well, international markets where we're seeing some green shoots in terms of our ability to supply in different agricultural regions. But Chris, did you want to say any more about proprietary.
Christopher Reynolds: Yes. Justin, thanks for the question. Part of that growth story also is that, for example, we're going to be introducing 26 new products here in 2026 as part of the proprietary products range. And as we look across the health of the grower today, their focus is very much on yield. And when you think about sort of the average to maybe a little below average commodity prices today, that's where their focus is. And they're growing confidence in this proprietary products to help that yield outcome just continues to grow, as we said, not just domestically in North America, but also growing internationally as well. So a big component of our growth, as we've mentioned this morning is around the proprietary products range, and we feel very good about that long into the future.
Operator: Your next question comes from Andrew Wong of RBC.
Andrew Wong: So in the retail guidance, you're assuming a mid-single-digit growth in crop nutrient volumes in North America. Just curious, how does that in your view across like nitrogen, potash and phosphate? And how does that take into factors such as crop switching between corn and soybean and versus the need for net replenishment after the really strong yields last year?
Kenneth Seitz: Yes. Thank you, Andrew, and yes, we're saying for core 94 million to 96 million acres and for soybeans 84 million, 86 million acres. So -- and then we're now staring down at some catch-up with crop nutrients going down on the ground from a wet fall or weather challenge fault. Indeed, we had about a $300 million working capital build in the fourth quarter, which we expect to be released onto the ground here in the first half of the year. In terms of fertilizer mix. I wouldn't say that it's going to be different than what we've seen in previous years. I think thing would be a balanced fertilizer mix, I mean it's true that that North America took a record crop out of the ground last year right across the [indiscernible]. So there was a lot of crop nutrients removed out of the ground last year. and those need to be really in place. So I wouldn't say that we're looking at a mix that's anything different than we've seen in historical years. So that we expect that the gross margin contribution from fertilizer in our retail business this year, should be about $1.5 billion.
Operator: Your next question comes from Steve Hansen of Raymond James.
Steven Hansen: I recognize it's still early here, but any incremental thoughts on the optimal path for the phosphate strategic review? And maybe just give us an update where you're at and time lines that you might be starting to put together. Again, recognizing it's still early.
Kenneth Seitz: Yes. Thanks, Steve. No, no conclusions on optimal path. We are -- and you phrased it well. We are still in the midst of a strategic review. And when we announced it last quarter, we said that, that could be anything from sort of revised operations all the way through to a sale. We are preparing our team is preparing for the typical market testing process to gauge interest in those assets. I can tell you at this stage, we have had significant inbound, significant interest in entering a discussion around those assets. But we're not in a position to do that until we have all of our ducks in a row as it relates to data information and characterizing -- clearly characterizing the assets. So people can understand what the business is and the state of the assets and all those things that you go through. So we're in a -- we expect to be in a position in the next quarter where we'll be out in the market doing exactly that market testing and engaging what may be done there. In the meantime, parallel bodies have worked to understand when we say it revised operations. What do we mean by that? We have different assets here. There's aurora with an extended life of mine white springs with a life of mine that's just early into the next decade. But with additional resources in the area that we're having a look at, and then there is our fee line. So when we save revised operations, might we do with those assets and everything in between that then, Steve, in terms of sale assets and is operations. So certainly, we want to have conclusions. We want to be able to tell you here in 2026, what's the plan, but we're just working through that at the moment.
Operator: Your next question comes from Lucas Beaumont of UBC -- UBS.
Lucas Beaumont: So I just wanted to follow up on the potash costs. So on the controllable costs kind of came in at $58 a tonne this year. I mean it was a bit up year-on-year, but similar to sort of what you've done couple of years before that. So I mean just going forward with increasing production profile sort of what you're doing on the automation front. How do you sort of see those costs trending into 2026 and beyond.
Kenneth Seitz: Lucas, it is our goal to keep that number at $60 per ton and cash cost per tonne. And we find that as controllable cash stock costs. But yes, per time for the foreseeable future. And why do we say that? It's -- we're in an inflationary environment. We've been successful fighting back inflation with the things that you just described with mine automation, which is our mining machines get further and further away from our conveyance shafts, we were able to put our machines either in teller mode where -- you don't have operators traveling, many kilometers underground to get to the equipment. They're testing on surface as or in the [indiscernible] fully autonomous machines just tolling around underground on their own, let the switch. Those -- that yields obvious productivity benefits, which goes right to that $60 or less, cash cost per tonne. And yes, we're absolutely -- we talked earlier about our market share in a growing market where we'll expand volumes, and we're expanding more volumes over a fixed cost base, which, of course, contributes to helping us fight back inflation for that $60 target. So great question, Lucas. We've been proud of our ability to be at that [ 6 ] year less, and the plan is to keep it there.
Operator: Your next question comes from Matthew DeYoe of Bank of America.
Matthew DeYoe: I have two for you. So I wanted to gauge your thoughts on the Trinidad asset, and particularly, given the changeover we've seen in Venezuela. I know the Dragon pipeline could have a potential implication on Trinidadian gas supply, but I also don't know how much stock you want to put into something like that? And then on the retail business, if I look on a 2-year stack, seed sales are down like 7.5%. And maybe this is overly simplistic, but if I were to assume prices in there, too, maybe volume is down 10%, that's not right. But why do we seek to this kind of headwind on the seed side, specifically for revenues in retail?
Kenneth Seitz: Good. Well, I will share a few thoughts on Trinidad and then I'll hand it over to Mark and Chris to provide some thoughts on seed. So Trinidad, gas availability. I mean, Matthew, it's a great question. Obviously, a lot of activity in the Caribbean there. But I would also say a lot of uncertainty. And I think that -- maybe that's an obvious statement. Yes, the ability for Trinidad to operate those industrial plants on the coast and certainly apply domestically for energy. And then LNG as well requires full gas, full complement of gas, and that has to come from Venezuelan. As you know, those discussions have been taking place over years now where you sort of unlock what was on sanctioned by oil and gas, build the pipeline over to the industrial complex and Trinidad and liberate Venezuelan gas, either for LNG or for the industrial complex along the coast there. And one of those is our plant. I don't have significant confidence for the near to medium term given that there will be ample gas supply over to the island of Trinidad from Venezuela, and it's just owing to that sort of level of uncertainty as it relates to the region. So as we have looked at -- there's a number of factors in play here. Obviously, our plant has been throttled at 80% because of lack of gas for some period of time. In addition to that, now we're facing increased costs for the gas the national gas company has been very clear that gas prices are going up in an environment where we really don't make any money for Trinidad plant. It's 3% of earnings and 1% of cash flow. And so for us, that was and is untenable, and it's our plan to shut down. We are working with -- we continue to talk to the Trinidad Government about whether there's a path forward here on affordable gas access to ports at affordable fees and 1 that would allow us to operate at some, albeit slim margin. In the meantime, we have moved to sort of revised operations where we're taking care of our idle plant with a core workforce. Over the coming months, we will look at the -- continue to look at these alternatives and try to seek an arrangement where we can run this plant, but we'll see. So more to come on that front.
Mark Thompson: Matthew, it's Mark speaking. So on your second question on retail seed sales, yes, I think there's two primary drivers of that. One of them would be intentional and strategic and within our control and the second, probably more out of our control and weather related. So on the first factor, as we've implemented the margin improvement plan that Ken spoke to in Brazil, some of that has involved moving away from lower-margin seed business, managing our expense profile. -- which, while seed sales have declined, it's made the overall business healthier as you've seen, and generated significant improvement in Brazil, and that was a very intentional choice to improve the nature of our business operations there. The second would be the historic weather events that we saw in the U.S. South, in the first half of 2025, which really resulted in a complete washout of some of the areas of the Delta and other places where we tend to have very high seed share and strong proprietary cotton and rice businesses. And as we spoke about that in the first half of last year, that clearly had an impact on seat sales, and we would expect some of that to reverse this year on that second factor. If we step back from seed, and we go back to some of the comments that Ken made this morning, over the past two years, notwithstanding those challenges, we look at the broader retail business, earnings have grown $300 million of EBITDA despite those challenges. And when we look at the broader proprietary business, we grew by about 5% in 2025. And as we've said, we think that business will grow again by high single digits in 2026. So again, we think some of the seed sales related to weather will reverse themselves. And from a broader retail standpoint, for those items within our control, we continue to drive strong business performance and growth.
Operator: Your next question comes from Edlain Rodriguez of Mizuho.
Edlain Rodriguez: Ken and Mark, I mean, we've seen what happened with flotate when prices were too high. There was a pullback in demand in 4Q. Any concerns that something like that could happen in potash? Or is it that potash supply demand is balanced enough that we are unlikely to see a fly up in prices.
Kenneth Seitz: Yes. Thanks, Edlain. And yes, I mean, I think you're absolutely right. We saw that in the fourth quarter as it related to phosphate Indeed, for our phosphate business, we felt that as well. We were able to manage through that with some -- with our commercial team and still within our guidance range. But it is true that there farmers pulled back on phosphate. On potash, it continues to be the most affordable crop nutrient. And if we look at the supply and demand balance for 2026, we do see some demand growth, and you can see that as we look to the -- our estimate of shipments, 74 million to 77 million, up from the midpoint -- sorry, the numbers from last year at 74% to 75%. So demand growth, but we also see some new tonnes coming into the market from various places. I mean some would be our own but we see some additional tonnes coming in from FSU countries, maybe a little bit of from lows. Some of that's offset by declines in China and Chile. But we expect that, that combination of sort of smaller times from these places, including our own when we talk about increasing production by 200,000 tonnes from last year, that we find ourselves in a somewhat balanced market. Let's see if we get into the higher end of that demand range, what the supply chains are able to handle, we do believe we're getting up to some of those more challenged numbers when you're at the top of the range for supply chains and maybe even for operating rates. But in the meantime, we're experiencing what we'd call a balanced market, and you see that reflected in the price $375 in Brazil, $348 in China, $375 Southeast Asia and a relatively stable market. So I think it is a different story than the phosphate story.
Operator: Your next question comes from Kristen Owen of Oppenheimer.
Kristen Owen: I wanted to come back to the topic of your Brazil retail channel. And just sort of ask you with the long-term strategic value is there. just given some of the previously discussed market challenges. And I think, Ken, you've alluded that, that business doesn't meet your internal hurdle rates is there some action that you could take to further narrow the gap versus your initial 2024 Investor Day guidance or maybe even recap those targets ex Brazil, so we can understand what that stand-alone business looks like.
Kenneth Seitz: Yes. Thank you, Kristen. And I would say that given that Brazil is really not contributing anything in terms of earnings or cash that the retail number is is 1 ex Brazil. But at the same time, yes, I take your point about our future there and whether everything we're doing in Brazil makes sense for us. And so that's, again, the work of 2026. We've been pleased with our Brazil improvement plan. We've talked about that. And that met expectations for last year, it certainly did. It's a lot of heavy lifting, but we got there. And we're on a similar path in 2026, but we are reviewing our seeds business and whether that's appropriate, that that's within Nutrien or maybe better off in someone else's hands. We do have conclusions on our proprietary product business in Agricen down there, where we do see opportunity to grow, and it is certainly synergistic with everything we're doing, everything else we're doing with Loveland products. And we can sell those products on shelves all over Brazil, not just necessarily our own. We know that we will be a large supplier of potash into Brazil and a growing supplier and that, that will continue. That leaves really the retail business, and yes, we're struggling with how to think about our retail presence in Brazil, whether that business can meet our financial thresholds that we expect when we deploy capital, whether there's better places to deploy capital. And if we come to that conclusion, what we might do with those retail assets. That's the work underway at the moment, and we'll have more to talk about that through 2026. And certainly, some conclusions on those answers in 2026.
Operator: Your next question comes from Duffy Fisher of Goldman Sachs.
Unknown Analyst: Just a question around your U.S. retail business. Investors have quite a lot of concern about the increase in Chinese generics in ag chem. We've seen a lot of pressure in Asia and Latin America so far. Do you see them trying to come direct in the U.S. trying to get labels one? And then two, if they're not doing that, do you see them just kind of putting more pressure with lower price generics running through the retail chain here, but kind of dragging down ag chem? Is there a structural change happening there in your view?
Kenneth Seitz: Yes. Thank you, Duffy. And yes, we do see some generic pressure, not the likes of what we see in some other parts of the world like Brazil, but we do see some. But I'll hand it over to Chris.
Christopher Reynolds: Thanks for the question. And as Ken said, we are seeing a little bit of that into the market today, some of that direct to grow a model. But what we really like there, as we think about the future is, again, our proprietary products range. And like the -- as I said, the introduction of 26 new products this year, we've got a pipeline there. We're going to continue to develop going forward with our current supply partners. And so we like our position. We like the breadth of our network. We like the relationship we have with our growers as we continue to move those products. And so don't see that sort of direct model today is a significant threat, and we really like the position we have with our proprietary product range.
Operator: Your next question is from Ben Theurer of Barclays.
Benjamin Theurer: I wanted to follow up on broader capital allocation and specifically on the share buyback. So over the last two years, we bought back 5% of shares outstanding, and you basically saying now you could do up to 5% this year, which seems to be a decent increase. What are like -- what we internally maybe alternative raising maybe the dividend more or going more towards per share buyback? What would like the thought processes behind particularly where the stock price is right now?
Kenneth Seitz: Yes. Thank you, Ben. Yes, so we did renew the NCIB. The Board approved that yesterday at a level of 5%. Last year, we were buying back our stock at a rate of about $50 million a month. And here in 2026 is -- depending on how the year unfolds, but I think it's probably a good number to use for 2026 as we watch the year unfold. How we think about the buying back return of cash to shareholders via the buyback versus the dividend. We continue to use the word stable and growing on the dividend, but of course, buying back our stock, actually has allowed us to -- in total [indiscernible] as to buy down the dividend. But Mark, maybe you want to say -- provide some additional color there?
Mark Thompson: Sure. Good morning, Ben. So yes, I'll just add a few points to what Ken mentioned. I think first and foremost and most importantly, our approach to capital allocation in 2026 will be entirely consistent with what shareholders have seen from us in 2025. So if we go through the high-level components of our capital allocation stack, we'll have total CapEx once again of $2 billion to $2.1 billion. That will be comprised of roughly $1.65 billion of sustaining CapEx and roughly $400 million of investments and growth CapEx. Capital leases, we expect to be consistent at about $0.5 billion. as Ken said, keeping dividend expense roughly stable at about $1 billion, and that leaves share repurchases. And so a real focus for us since the latter part of 2024 has been introducing ratability in that share repurchase program. And as Ken said, the 5% authorization is really just our authorization to be in the market. Last year, we bought back about 2% of the stock. And when we look at our run rate so far in 2026, we've been doing about $50 million a month in repurchases. And we think that level of ratability makes sense for us. So those would be the major capital allocation priorities. I think it's worth noting that this is all anchored by a very strong balance sheet and through strong performance in asset sales in 2025. We were able to tune up the balance sheet and put ourselves in an even stronger position by paying down over $600 million in debt. So we feel good about where that sits right now and that will support our ability to make good on these capital allocation priorities all through the cycle in all types of market environments. So I'd say the punchline here is just continue to expect from us, what you've seen from us so far over the last year.
Operator: Your next question comes from Jeff Zekauskas of JPMorgan.
Jeffrey Zekauskas: It looks like your inventories were, I don't know, $500 million higher in the fourth quarter than you wanted them to be. What is it that happened at the end of the year that led to that inventory build, and are there implications for the first quarter?
Kenneth Seitz: Yes. The big one Jeff would be weather. And so farmers just weren't able to get out and put down a normal fall application season. So it wasn't normal. And as a result of that -- those inventories working capital carried through into 2026. So that would be one. Two is proprietary products. We held some proprietary product inventory that is still on the books that again, we expect in 2026 that we'll release those products, and that will be released working capital. Those would be the big ones.
Operator: Your next question comes from Mike Sison of Wells Fargo.
Michael Sison: Just curious, I appreciate the EBITDA sensitivity for potash and nitrogen. It feels like the base case is somewhere in the middle of those charts. But is that the case? And then what sort of gets you since you've given the wider range? What do you think drives it to the higher end of the charts and to the lower end of the start this year, if at all?
Kenneth Seitz: Yes. I mean as we look at our guidance ranges, when we talk about volume on potash, it really is good weather, at least a strong demand in the regions that we serve and outgoes more crop nutrients. And the lower end of that range would be the opposite of that would be challenged whether an inability to get on the land. So it's on the volume side on the price side of potash, it's the classic supply and demand discussion. And we just talked about 74 million to 77 million tonnes. Weather, if you get into the higher end of that range, that puts pressure on on supply chain and operating rates and whether the market can actually supply those volumes, which, of course, would put pressure on price and hence, again, be at the top of that range. If you go over to nitrogen for us, it's at our plants, it's operating rates. So higher operating rates, higher volumes and lower operating rates, lower volumes. It's true that we have three turnarounds this year, which we're going to be executing. That's a heavy turnaround year for us. And so when we talk about operating rates, it requires strong execution across those turnarounds. We planned well for those so that we expect we will have operating rates that would be analogous to what we saw last year, which was very strong. So that's on the volume side of nitrogen pricing, when you go over to urea, you've got strong Indian demand, strong demand across the table, actually, but you also have some supply uncertainty, particularly as it relates to what's happening in the geopolitical uncertainty. So urea prices are tight at the moment given those supply and demand dynamics, and we see a world where that could persist for a bit longer here in 2026. On ammonia, seasonally lower volume in ammonia right now. We've had some production come back online. Gulf Coast, although going for a planned shutdown, so ammonia, yes, ammonia have prices have been strong, but with some seasonal weakness, we see ammonia prices weakening a little bit. But over the course Six yes, you're looking at the right bar, the right charts and as volume and price, we think we would say we're constructive across the board.
Operator: Your next question comes from Dave Symonds of BNP Paribas.
David Symonds: Just a bit of a conceptual one. I noticed that LNG Canada is ramping up. Are you expecting any impact on AECO gas prices from that? And is there anything you can do to mitigate the impact?
Kenneth Seitz: We -- with the shift of Trinidad coming down, we were enjoying now 50% of our fleet being exposed to AECO gas and our fleet being exposed to Henry Hub. With Trinidad running, it was about [ 20% ] Trinidad, which is indexed Tampa ammonia. And they're 80% divided between between Henry Hub and AECO. The effect of Trinidad coming down and now just being exposed to North American natural gas has been to reduce sort of effective gas price quite dramatically. So we like given that North America continues to be structurally advantaged on cash costs compared to places like Europe, we really, really like where our high-quality assets are sitting and running at the moment. As it relates to LNG and LNG Canada, we've talked about sort of the flattening world as it relates to natural gas pricing and LNG moving over the planet. And what that means that structural advantage in North America. We believe that the North American structural advantage persists mostly because there are almost infinite volumes sitting on the continent and a very, very cost effectively to extract those. So we believe that there is that structural delta that persists LNG Canada or other LNG, yes, might work to flatten that, but we're very pleased with sort of the structural advantage we have.
Operator: There are no further questions at this time. I will now turn the call back to Jeff Holzman for closing remarks.
Jeff Holzman: Okay. Thank you for joining us. The Investor Relations team is available if you have follow-up questions. Have a great day.
Operator: Thank you, ladies and gentlemen. This concludes today's conference call. Thank you for your participation, and you may now disconnect.